Operator: Good afternoon, and welcome to A-Mark Precious Metals Conference Call for the Fiscal Third Quarter ended March 31, 2025. My name is Kelly, and I will be your operator this afternoon. Before this call, A-Mark issued its results for the fiscal third quarter 2025 in a press release, which is available in the Investor Relations section of the company’s website at www.amark.com. You can find the link to the Investor Relations section at the top of the homepage. Joining us for today’s call are A-Mark’s CEO, Greg Roberts; President, Thor Gjerdrum; and CFO, Kathleen Simpson-Taylor. Following their remarks, we will open the call to your questions. Then before we conclude the call, I’ll provide the necessary cautions regarding the forward-looking statements made by management during this call. I would like to remind everyone that this call is being recorded and will be made available for replay via a link available in the Investor Relations section of A-Mark’s website. Now I would like to turn the call over to A-Mark’s CEO, Mr. Greg Roberts. The floor is yours.
Greg Roberts: Thank you, Kelly, and good afternoon, everyone. Thank you for joining the A-Mark call today. Our third quarter results demonstrated A-Mark’s performance during very volatile market conditions. Early quarter concerns around tariffs led to decreased market liquidity and backwardation, contributing to trading losses and higher interest expense due to increases in product financing rates. Despite these headwinds, one-time acquisition-related costs of $4.6 million and a one-time remeasurement loss of $7 million on our Pinehurst Coin Exchange, pre-existing equity interest, we delivered $41 million in gross profit, $5.7 million in non-GAAP adjusted net income and $1.3 million in non-GAAP EBITDA. We capitalized on the softer market conditions to execute three strategic acquisitions: Pinehurst Coin Exchange, Spectrum Group International, which closed during the quarter, and AMS Holding, LLC, which closed just after quarter end. These acquisitions have strengthened our competitive position while expanding our footprint into higher-margin luxury segments. As we integrate these businesses into A-Mark’s infrastructure, we anticipate both immediate and long-term cost efficiencies. Our consolidations efforts will help eliminate operational redundancies while supporting increased transaction volume. Our A-Mark Global Logistics facility in Las Vegas is fully prepared for the upcoming integration phase. With our hardware upgrade now complete, we have identified numerous opportunities to drive operational efficiencies. We continue to invest in automation technology in Las Vegas, enabling us to process higher volumes while reducing operational costs. We also made significant progress with our LPM acquisition, having successfully launched both retail and wholesale trading capabilities. We are optimistic about the long-term growth opportunities in the Asian markets across wholesale and e-commerce channels and look forward to scaling the LPM brand alongside our other portfolio assets. Looking ahead, market conditions have shown some modest improvement. With our expanded brand portfolio and substantial optimization opportunities, we remain confident in A-Mark’s long-term growth trajectory and our continuing ability to deliver shareholder value. Now, I will turn the call over to CFO, Kathleen Simpson-Taylor, who will provide a more detailed overview of our financial performance. Following that, our President, Thor Gjerdrum, will discuss our key operating metrics. Finally, I will offer further insights into the strategic direction and growth initiatives driving our business. Kathleen?
Kathleen Simpson-Taylor: Thank you, Greg, and good afternoon, everyone. Our revenues for fiscal Q3 2025 increased 15% to $3 billion from $2.6 billion in the same year ago quarter. Excluding an increase of $155.8 million of forward sales, our revenues increased $242.7 million, or 18%, which was due to higher average selling prices of gold and silver, partially offset by a decrease in gold and silver ounces sold. The DTC segment contributed 19% and 13% of the consolidated revenue in the fiscal third quarters of 2025 and 2024, respectively. JMB’s revenue represented 10% of the consolidated revenue for the fiscal third quarter of 2025 compared with 12% for the prior year fiscal third quarter. For the nine-month period, our revenues increased 18% to $8.5 billion from $7.2 billion in the same year ago period. Excluding an increase of $540.5 million of forward sales, our revenues increased $752 million, or 18.3%, which was due to higher average selling prices of gold and silver, partially offset by a decrease in gold and silver ounces sold. The DTC segment contributed 19% and 14% of the consolidated revenue for the nine-months ended March 31, 2025 and 2024, respectively. Revenue contributed by JMB represented 11% of the consolidated revenues for the nine-months ended March 31, 2025, compared with 13% in the same year-ago period. Gross profit for fiscal Q3 2025 increased 18% and to $41 million, or 1.36% of revenue, from $34.8 million, or 1.33% of revenue, in Q3 of last year. The increase in gross profit was due to higher gross profits earned from the DTC segment, partially offset by lower gross profits earned from the Wholesale Sales & Ancillary Services segment. Gross profit contributed by the DTC segment represented 61% and 52% of the consolidated gross profit in the fiscal third quarters of 2025 and 2024, respectively. Gross profit contributed by JMB represented 40% of the consolidated gross profit in Q3 2025 compared to 45% in Q3 of last year. For the nine-month period, gross profit decreased 1% to $129.3 million, or 1.53% of revenue, from $130.3 million, or 1.82% of revenue in the same year ago period. The decrease in gross profit was due to lower gross profits earned from the Wholesale Sales & Ancillary Services segment, partially offset by an increase in gross profits earned by the DTC segment. Gross profit contributed by the DTC segment represented 57% of the consolidated gross profit for the nine months ended March 31, 2025, compared to 47% in the same year ago period. Gross profit contributed by JMB represented 38% and 40% of the consolidated gross profit for the nine months ended March 31, 2025 and 2024, respectively. SG&A expenses for fiscal Q3 2025 increased 46% to $33.4 million from $22.9 million in the same year ago quarter. The change was primarily due to an increase in consulting and professional fees of $4.4 million, including an increase in one-time acquisition costs of $2.4 million, an increase in compensation expense, including performance-based accruals of $3.4 million, higher advertising costs of $1.5 million and an increase in facilities expense of $0.7 million. Selling, general and administrative expenses also include $8.7 million of expenses incurred by LPM, Pinehurst, SGB and SGI, which were not included in the same year ago period as they were not yet consolidated subsidiaries for the full period. For the nine-month period, SG&A expenses increased 28% to $85.8 million from $67.1 million in the same year ago period. The change was primarily due to an increase in compensation expense, including performance-based accruals of $6.5 million, an increase in consulting and professional fees of $5.9 million, including an increase in one-time acquisition costs of $2.6 million, an increase in advertising costs of $3.2 million, an increase in facilities expense of $1.5 million, an increase in information technology costs of $0.4 million and an increase in insurance costs of $0.2 million. Selling, general and administrative expenses for the nine months ended March 31, 2025, include $19.2 million of expenses incurred by LPM, Pinehurst, SGB and SGI, which were not included in the same year ago period as they were not yet consolidated subsidiaries for the full period. Depreciation and amortization expense for fiscal Q3 2025 increased 69% to $5 million from $2.9 million in the same year ago quarter. The change was primarily due to an increase in amortization expense of $2.4 million related to the intangible assets acquired through our acquisitions of LPM, Pinehurst and SGI and our acquisition of a controlling interest in SGB. This was partially offset by a decrease in JMB intangible asset amortization of $0.6 million. For the nine-month period, depreciation and amortization expense increased 68% to $14.3 million from $8.6 million in the same year ago period. The change was primarily due to an increase in amortization expense of $6.8 million related to intangible assets acquired through our acquisitions of LPM, Pinehurst and SGI and our acquisition of a controlling interest in SGB. This was partially offset by a decrease in JMB intangible asset amortization of $1.7 million. Interest income for fiscal Q3 2025 increased slightly 0.6% to $6.7 million from $6.7 million in the same year ago quarter. The aggregate increase in interest income was due to an increase in other finance product income of $0.4 million and a decrease in interest income earned by the Secured Lending segment of $0.4 million. For the nine-month period interest income increased 8% to $20.6 million from $19.1 million in the same year ago period. The aggregate increase in interest income was due to an increase in other finance product income of $1.7 million and a decrease in interest income earned by our Secured Lending segment of $0.2 million. Interest expense for fiscal Q3 2025 increased 31% to $13 million from $9.9 million in the same year ago quarter. The increase in interest expense was primarily due to an increase of $2 million related to product financing arrangements and $0.9 million from liabilities on borrowed metals. For the nine month period interest expense increased 11% to $33.3 million from $29.9 million in the same year ago period. The increase in interest expense was primarily due to an increase of $2.9 million related to product financing arrangements; an increase of $1.6 million from liabilities on borrowed metals; and an increase of $1.3 million associated with our trading credit facility due to increased borrowings as well as an increase in the weighted average effective interest rate. This was partially offset by a decrease of $2.5 million related to the AMCF Notes including amortization of debt issuance costs due to their repayment in December 2023. Losses from equity method investments in Q3 of fiscal 2025 of $0.2 million remain consistent with the same year ago quarter. For the nine-month period, earnings from equity method investments decreased 163% to a loss of $2.1 million from earnings of $3.3 million in the same year ago period. The decrease was due to decreased earnings of our equity method investees. Net loss attributable to the company for the third quarter of fiscal 2025 totaled $8.5 million or $0.36 loss per diluted share compared to net income of $5 million or $0.21 per diluted share in Q3 of last year. For the nine month period, net income attributable to the company totaled $7 million or $0.29 per diluted share compared to net income of $37.6 million or $1.56 per diluted share in the same year ago period. Adjusted net income before provision for income taxes, a non-GAAP financial measure, which excludes acquisition costs, amortization, depreciation, remeasurement gains or losses and contingent consideration fair value adjustments for Q3 fiscal 2025 totaled $5.7 million, a decrease of $5.9 million or 51% compared to $11.6 million in the same year ago quarter. The decrease was primarily due to lower net income before provision for income taxes of $16.4 million, the contingent consideration fair value adjustment of $1 million, partially offset by higher acquisition costs $2.4 million, higher amortization of acquired intangibles of $1.8 million and the one-time remeasurement loss on our pre-existing equity interest in Pinehurst of $7 million. Adjusted net income before provision for income taxes for the nine month period totaled $33.9 million, a decrease of $26.2 million or 44% compared to $60.1 million in the same year ago period. The decrease was primarily due to lower net income before provision for income taxes of $40.6 million, contingent consideration fair value adjustment of $1.1 million and this was partially offset by higher amortization of acquired intangibles of $5.1 million, higher acquisition costs $2.6 million and the one-time remeasurement loss on our pre-existing equity interest in Pinehurst of $7 million. EBITDA, a non-GAAP liquidity measure for Q3 totaled $1.3 million, a decrease of $11.3 million or 90% compared to $12.6 million in the same year ago quarter. The decrease was primarily due to lower net income of $14 million, partially offset by the exclusion of higher interest expense of $3 million. EBITDA for the nine-month period totaled $35.3 million, a decrease of $32.9 million or 48% compared to $68.2 million in the same year ago period. The decrease was primarily due to lower net income of $32.4 million. Turning to our balance sheet, at quarter end, we had $114.3 million of cash compared to $48.6 million at the end of fiscal year 2024. Our tangible net worth excluding non-controlling interest at the end of the quarter was $315.7 million, up from $306.0 million at the end of the prior fiscal year. During the quarter we amended our credit facility and now have a revolving commitment of $467 million. A-Mark’s Board of Directors has continued to maintain the company’s regular quarterly cash dividend program of $0.20 per common share. The most recent quarterly cash dividend was paid in April. It is expected that the next quarterly dividend will be paid in August 2025. That completes my financial summary. Now I will turn the call over to Thor, who will provide an update on our key operating metrics. Thor?
Thor Gjerdrum: Thanks, Kathleen. Looking at our key operating metrics for the third quarter of fiscal 2025, we sold 432,000 ounces of gold in Q3 fiscal 2025, which was down 3% from Q3 of the previous year and down 7% from the prior quarter. For the nine month period we sold 1.3 million ounces of gold which was down 7% from the same year ago period. We sold 15.7 million ounces of silver in Q3 fiscal 2025, which is down 39% from Q3 of the previous year and down 28% from the last quarter. For the nine-month period we sold 58.0 million ounces of silver, which is down 30% from the same year ago period. The number of new customers in the DTC segment, which is defined as those who registered or set up a new account or made a purchase for the first time during the period, was $899,600 in Q3 fiscal 2025, which is up 1489% from Q3 of last year and increased 1276% from the prior quarter. For the three-month period ended March 31, 2025, approximately 84% and 9% of the new customers were attributable to the acquisitions of Pinehurst and SGI respectively. For the nine-month period the number of new customers in the DTC segment was 1,020,300 which is up 588% from 148,200 new customers in the same year ago period. For the nine-month period end of March 31, 2025, approximately 74% and 8% of the new customers were attributable to the acquisitions of Pinehurst and SGI respectively. The total number of customers in the DTC segment at the end of the third quarter was approximately 4.1 million, a 64% increase from the prior year. The year-over-year growth was driven by organic expansion of our customer base and the acquisitions of Pinehurst, SGI and the acquisition of a non-controlling interest in SGI. The DTC segment average order value, which represents the average dollar amount of products, orders excluding accumulation program orders delivered to DTC segment customers during Q3 fiscal 2025 was $3,084 which was up 45% from Q3 fiscal 2024 and a 3% decrease for the prior quarter. For the nine month period the DTC average order value was $3,080 which is up 37% from the same year ago period. For the fiscal third quarter our inventory turn ratio was 2.4, a 4% increase from 2.3 in Q3 of the fiscal – the previous year and a 9% increase from 2.2 in the prior quarter. For the nine-month period the inventory turn ratio was 6.9, a 1% increase from 6.8 in the same year ago period. Finally, the number of secured loans at the end of March totaled 491, a 27% decrease from March 31, 2024 and a 5% decrease from the end of December. The value of the loan portfolio as of March 31, 2025 was $86.5 million 25% decrease from the prior year period and a 12% decrease from December 31, 2024. That concludes my prepared remarks. I will now turn it over to Greg for closing remarks. Greg?
Greg Roberts: Thank you, Thor and Kathleen. We are focused on integrating our recent acquisitions and driving efficiencies throughout the businesses to close out the fiscal year. We are excited about the new markets that we have entered and will be operating in, our commitment to generating stockholder value remains firm and we are confident in A-Mark’s diversified and proven business model. That concludes my prepared remarks. Operator?
Operator: Thank you. The floor is now open for questions. [Operator Instructions] Your first question is coming from Andrew Scutt with Roth Capital Partners. Please pose your question. Your line is live.
Andrew Scutt: Hey good afternoon. Thank you for taking my questions. First one for me here. In April, kind of gold and silver prices saw a little bit of volatility. So, can you just kind of talk about what you’ve seen in the market to your quarter-to-date?
Greg Roberts: Yes, post April 2, we saw an increased level of activity. We were happy to see that based on what we went through the quarter we just described. But yes, in the first couple of weeks of April, we were very active and I believe the business is operating very efficiently. Things have slowed down a little bit the last week or two. But all in all, April was a very solid month for us.
Andrew Scutt: Great to hear. Thank you for that color. Second one for me, and then I’ll jump back in the queue. Kind of tangent from the core business, but recently, you guys have gotten more into the Collectible space. Can you just kind of talk about the progress you’ve seen there and the outlook on the business?
Greg Roberts: Sure. As we’ve communicated, we closed the SGI deal as well as the Pinehurst deal within the quarter, our Q3. We’ve done a good job in my opinion of integrating the businesses, and the businesses are operating as we would expect them to. I think the market has been active in the Collectible space, particularly at the Stack’s Bowers division. They had some very impressive auctions with great demands in April. And I think the overall market for the Collectibles, although historically has been driven a bit by precious metal prices, happy with the demand and the execution at Collectible side of things.
Andrew Scutt: Perfect. Great to hear and I’ll jump back into queue.
Greg Roberts: Sure.
Operator: Your next question is coming from Thomas Forte with Maxim Group. Please pose your question. Your line is live.
Thomas Forte: Great. So first off, for Kathleen, I wanted to offer her congratulations and best wishes. And then Greg, I had two questions and then also I want to get back in the queue as well because I have a lot of questions. So can you explain how backwardation impacted your results? And when was the last time A-Mark experienced backwardation?
Greg Roberts: Sure. The last time that backwardation was material and affected us was right after the COVID. And there were some similarities to what happened then versus what happened to us through most of February and March and part of January. In general and throughout most of – as we’ve been reporting and as we’ve been a public company, the company carries a very large short position, which hedges our inventory. So if you look at our balance sheet and you look at the rising cost of spot price of metal, that increases our carrying cost A, through borrowings on our dollar lines. But as it relates to the difference between contango and backwardation, as we moved into the tariff uncertainty and as we moved closer to April 2, there was a significant fear that precious metals and bullion would be subject to tariffs. That caused a disruption in the normal contango market where as you’re short metal, as you go out on the curve, you’re going to get paid to be short. The difference in backwardation is that you’re paying to be short. And it’s a flip from what we normally earn in contango. So it is a part of our trading revenue and our gross profit. And it did disrupt our GP in that area fairly significantly in February and March. At the same time, we create liquidity through leases and through repo. And the rates on those borrowing facilities also increased. So we saw an increased level of borrowing. On April 2, when the administration became more specific on what was going to be tariffed and what wasn’t, there was an exemption for precious metals and bullion. And since then, the markets have gone back to a much more normal and historic level. Now it takes a little while for backwardation to go back to contango. But as we are rolling our positions today as we roll them out and we roll out to the future, we’re gaining contango again, and we’re actually seeing contango back to a level that was pre-Trump, pre-tariff – a pre-tariff world. So it was a negative, and it was a big headwind on the business in mostly February and March. But what we’re seeing today is a much more normalized situation. And if I – there’s anything there I didn’t – wasn’t clear enough on or you need more clarification, let me know that it’s a fairly – it’s a bit of a complex situation, and there’s a lot to digest there.
Thomas Forte: Yes. So that was very helpful. Let me ask one of my second question, and then let me get back in the queue for some more. So at a high level, how should we think about A-Mark’s earnings power in a period of macroeconomic uncertainty but a one-way trade in gold?
Greg Roberts: Yes. I mean, it’s interesting. We talked about this all the time. If you go back historically with A-Mark, we make most of our money in a very active silver market. So in general, premiums and margins for us are higher on silver than in gold. What we’ve seen in the last 6 months or 8 months as gold continues to hit new highs, almost every month, it seems like. We did see the company and the earnings power perform very well in a gold-dominated market. And in market conditions were really over the last 12 months, silver has been left behind. And as you just look at the ratio between silver and gold, it’s trading at really unprecedented numbers for any extended period of time. You’re up over 100x between silver and gold. So it’s clear that the precious metals markets right now are very dominated by gold, and we believe they’re very dominated by central banks and institutional buying and the smaller precious metals buyer that historically has bought silver up to this time, we haven’t seen anything to indicate that there’s a level of foam or frothiness that is trickling down to the silver buyer. And I will say, as we saw silver and gold a few weeks ago, make a new time – an all-time high in gold and a recent high in silver, we did see our DTC customers become a bit more active. And actually in communications with customers, we did hear a bit of anxiety and a beer – a little bit of fear of being left behind. So we’re going to have to see how that plays out. But it is fairly uncharted with gold at $3,500 an ounce, I just believe there’s a little bit of frozen behavior right now as to – is gold going to $5,000, is gold going back to $2,500? We’re just not sure on that. And I think anything in general, the retail purchaser of fabricated precious metals right now is also kind of looking for more direction there. On the positive side, we’ve seen some really volatile days over the last three weeks, where you’ve had $100 swings in gold within a day and $1.50 in silver. So there is certainly uncertainty. And I think as equities became a bit shaky in early April, we realized what we would expect from our customer base is there is a move to safety and there is a move to precious metals as a place to go if you’re pulling out of equity investments. So we saw a lot of good things. I still have not seen enough demand to really affect premiums to the upside, and we’ll see how that plays out through the rest of this quarter.
Thomas Forte: Thank you. I’m going to get back into queue. That was very helpful. Thanks, guys.
Greg Roberts: Thank you.
Operator: Your next question is coming from Greg Gibas with Northland Securities. Please pose your question. Your line is live.
Greg Gibas: Hey, good afternoon, Greg, Thor, and Kathleen. Thanks for taking the questions.
Greg Roberts: Sure.
Greg Gibas: We’ve seen A-Mark capitalize on the softer conditions, completing those three acquisitions in the quarter. I wanted to ask what your maybe current stance on acquisitions is and whether your M&A focus has shifted at all following the acquisitions you closed in the quarter?
Greg Roberts: As we’ve said before, I want to be very active in acquisitions when the markets are slow. Generally, I have found historically that things aren’t really for sale at a price I want to pay when we’re at the top. Things become available and for sale at the right price when things are not going great or when markets are slow. I feel very good and confident about the acquisitions we’ve closed. There are still a number of things we’re looking at. And I believe we are properly positioned that if an opportunity presents itself at what we think is the best use of capital, we will continue to deploy capital in acquisitions. I’m particularly encouraged by what these acquisitions have done positively to our balance sheet, which we’ll be putting out with our 10-Q, as well as the 4 million retail customers in the DTC segment that we reported today. Just very large numbers, and through acquisitions, we’ve been able to add to that customer base. And I’m very confident that when the markets do become more favorable and we get to a situation where we have tailwinds instead of headwinds, the customer base is going to significantly outperform a lower number of customers that we had two or three years ago. So I continue to view acquisitions as a great way, combined with our organic marketing and new customer growth, to add to the customer base that will really propel A-Mark to a new place.
Greg Gibas: Got it. Very helpful, Greg. And a couple of my other questions have been answered. But if I could follow up on kind of how things have trended post Liberation Day? You mentioned a very active first few weeks of April. Are you still seeing more favorable elevated customer activity kind of relative to – not that we have a near-term baseline, but like kind of maybe normalized demand in a way? Or it would be helpful if you could kind of characterize like how things have trended post those first two weeks.
Greg Roberts: Yes. I mean, I think we are definitely seeing elevated interest throughout April. It’s a little early to talk about May. But throughout April, we definitely saw elevated interest across all of our different businesses, both the – our normal trading business, our DTC business and our newly acquired businesses. So we saw elevated activity well – impressive above what we saw in our Q3 that we’re reporting here. I will say there does seem to be a bit more of a correlation right now in our businesses as it relates to what the stock market and equities are doing. Certainly, throughout the last week of March and the first couple of weeks of April, there was just tremendous volatility and tremendous uncertainty as it relates to what’s really going on out there in the world right now. And it’s clear that from looking at other companies’ earnings calls over the last couple of weeks, there just continues to be CEOs that are very uncertain and pulling guidance, and there’s just a lot of uncertainty. But there is a – at the moment, we’re seeing a direct correlation that days where the stock market is down 2% or 3%, there’s a direct correlation to positive results at the A-Mark level. And vice versa, when you see the stock market up 3%, we’re seeing things slow down. So at least at the moment, that seems to be what we’re following, and I think we’re very well positioned in either scenario, but I just continue to see uncertainty out there outside of our business. But as I said before, I’m very encouraged. It doesn’t take a whole lot for us to see when all 12 cylinders are firing, albeit a very small sample size that we’re talking about. But the businesses – we definitely saw them perform.
Greg Gibas: Great to hear. Thank you all. I’ll pass it on.
Operator: [Operator Instructions] Your next follow-up question is coming from Thomas Forte with Maxim Group. Please pose your question. Your line is live.
Thomas Forte: Great. So I have three. I apologize if that’s too many. But…
Greg Roberts: No, you go right ahead, Tom.
Thomas Forte: Okay. Thank you, Greg. So one of the things that seems to happen in a period of elevated gold prices is that long time gold owners sell their own inventory. Do you have any visibility on that being exhausted? And then how does that impact your earnings power when you have a lot of existing holders selling into the market?
Greg Roberts: Well, it’s just a supply and demand equation. The more long-term holders of precious metals that sell back into the market, it’s going to create supply situations that are different than when you have the reverse of that. And I think I’ve discussed this a bit before. When you have a number of retail customers bringing metal back into the market, you’re going to have less new material being made. So for every ounce of silver that there’s demand for that comes back into the marketplace through a buyback or through customer liquidation or a long-term holder selling, that’s one less new silver round that we make at Silver Towne or new gold bar that we make at Sunshine. So it does affect throughout. And then it also stuns our trading division on a wholesale level because a lot of our wholesale customers are buying back material, and they don’t need to buy new material from A-Mark. So that is a metric that I look at every week, and I view it in the – through the lens of what percentage are we buying back from wholesale and retail customers versus new sales to new customers. And when you have an elevated percentage there where the percentage is elevated and higher, you’re going to have headwinds and you’re going to have less – lower performance, which is – this is probably the third or fourth quarter that we’ve been talking about this, and we’ve been talking about it since we talked when gold hit an all-time high at $2,700. And we had elevated liquidations when gold hit that spot price. Since then, we’ve continued all the way up to $3,400, $3,500, where you have people liquidating and taking profits, whether they’ve been holding material for 20 years or whether they’ve been holding material since gold was at $2,700, you’re going to have a percentage of people that are going to liquidate, and they’re going to take advantage of these prices. I will say that – what I did see in the first week or so of April, where we had some elevated demand, and we had higher numbers, as I’ve discussed, we did see the liquidations and the wholesale buys that we were making go down as a percentage of new sales. So it is fairly – it is – the numbers and the metrics and the analytics are fairly consistent with what happens. And then two weeks ago or a week ago, we saw a new high spot price, and we did see some elevated liquidations and sell backs. So that’s what we’re seeing. And just operating within in the environment and trying to execute as well as we can.
Thomas Forte: Great. All right. So then two more. So I’m very impressed by the improvements you’ve made to your Las Vegas facility or are in the process of making. Does that translate into higher volumes and slightly better margins? How should we think about the financial impact of those improvements?
Greg Roberts: Yes. I mean, we’re not fully operational there yet. But certainly, we believe that the automation that we’ve created in the facility that is very, very impressive, and it allows us to bring in more third-party shippers and other third-party inventories into the facility. And allows us to ship, sort, pick and pack, just a much higher percentage. I think when this is all said and done, we likely will be able to do 50% to 75% more packages a week without adding more employees. So I think this is part of my long-term goal and strategy, and it’s something that Thor and Brian Aquilino have been working on for quite some time. And I’m just very, very pleased that we took the leap three years ago or four years ago when we first went to SpaceX and we saw these machines and we saw what they could do and that demonstration, I’m just very pleased that we weren’t afraid to do it, and we went ahead and got in the queue to get these machines, and they’re very impressive, what they can do. So that’s certainly going to help us. And as it relates to integrating our acquisitions and looking for ways to make our subsidiaries’ inventory more efficient or inventory-light, whether it be an asset or Pinehurst or Stack’s, being able to have more demand out of A-Mark’s inventory and have it all in Las Vegas where it can be accessed is going to create synergies and create efficiencies and hopefully have a positive effect on our SG&A.
Thomas Forte: Okay. Last one, I apologize, it just has elements of being a comment and a question.
Greg Roberts: Okay.
Thomas Forte: So one of the wonderful things in my opinion about your business model is the improvements you make over time that position you to capture incremental profits in the next favorable environment. Off the top of my head, I couldn’t name all the M&A you’ve done since that last trading environment. But it feels like to me that you’re – it’s almost like a coiled spring that when the time comes, the earnings will be very big, so that’s the statement part. The question part then is, what are your current thoughts on buybacks given where shares are trading?
Greg Roberts: As I’ve said before and just to, I guess, respond to your comment, as I’ve said for quite some time now, the goals are to have higher highs and higher lows within similar environments. And I believe that is what we’re doing here. I mean, I do – I am very impressed by our balance sheet, our number of DTC customers. Our ability to sell $3 billion in a quarter, albeit at lower margins, which we realize the margins are low right now. But hitting that $3 billion mark or a $12 billion run rate is going to position us if margins increase that we’re going to see tremendous performance. There’s no doubt about that. So I agree with your comment, and I think that is what I am trying to build here. That’s what we’re trying to accomplish and take advantage of things in good markets as well as bad markets. As it relates to our stock buybacks, I’m going to go back to what I always say. We look at four or five different things that we look at every day when we’re talking about capital deployment. We’re looking at inventory reduction, we’re looking at affecting our interest expense, where we look at dividends, we look at stock buybacks, and we look at acquisitions. And those are – I’m very consistent on that, that’s what we do. We feel good at the moment in digesting the acquisitions that we have closed on. I think there’s still work to be done on the integration and making sure we recognize the efficiencies that we have projected. As I said earlier, there’s still a number of opportunities that we’re looking at that as it relates to M&A that we think would be the right use of capital as it relates to return on equity or return on investment. And I think we’re always looking at stock buybacks if we believe that is the best use of our capital. So I’m not precluding anything but I think that – we see great opportunity with the market being slow, as I’ve said before, that we believe that acquisitions, new clients that come with acquisitions, new DTC customers that come, we believe that is a very good long-term use or deployment of capital. So I think we’re flexible and open to everything, but – you got to stay flexible, and we’re always looking at this.
Thomas Forte: Thank you, Greg for taking all my questions. I appreciate it.
Operator: At this time, this does conclude our question-and-answer session. I’d now like to turn the call back over to Mr. Roberts for his closing remarks.
Greg Roberts: Great. Thank you. Again, thanks, everybody, for being on the call. Thank you for being long-term followers and shareholders. We continue to be positive at A-Mark about what we’re accomplishing, where we’ve been, where we’re going. And again, very – we are committed to this, creating shareholder value, and we’re going to continue on the mission here. So thank you very much for being on the call.
Operator: Before we conclude today’s call, I would like to provide A-Mark’s safe harbor statement that includes important cautions regarding forward-looking statements made during this call. During today’s call, there were forward-looking statements made regarding future events. Statements that relate A-Mark’s future plans, objectives, expectations, performance, events and the like are forward-looking statements within the meaning of the Private Securities Litigation Reform Act of 1995 and the Securities Exchange Act of 1934. These include statements regarding expectations with respect to the dividend declarations, the amount of timing of any future dividends, future macroeconomic conditions and a demand for precious metals products and the company’s ability to effectively respond to changing economic conditions. Future events, risks and uncertainties, individually or in the aggregate, could cause actual results to differ materially from those expressed or implied in these statements. These include the following, with respect to the proposed transaction with AMS Holdings: The failure of the parties to agree on definitive transaction documents; the failure of the parties to complete the contemplated transactions within the currently expected time line or at all; the failure to obtain necessary third-party consents or approvals; and the greater-than-anticipated costs incurred to consummate the transactions. Other factors that could possibly cause actual results to differ include the failure to execute the company’s growth strategy, including the inability to identify suitable or available acquisition or investment opportunities; greater-than-anticipated costs incurred to execute this strategy; changes in the current international political climate, which historically has favorably contributed to demand and volatility in the precious metals markets; potential adverse effects of the current problems in the national and global supply chain; increased competition for the company’s higher-margin services, which could depress pricing. The failure of the company’s business model to respond to changes in the market environment as anticipated; changes in consumer demand and preferences for precious metal products generally; potential negative effects of that inflationary pressure may have on our business. The inability of the company to expand capacity at Silver Towne Mint. The failure of our investee companies to maintain or address the preferences of their consumer bases; general risks of doing business in the commodity markets; and the strategic business, economic, financial, political and governmental risks and other risk factors described in the company’s public filings with the Securities and Exchange Commission. The company undertakes no obligation to publicly update or reverse any forward-looking statements. Listeners are cautioned not to place undue reliance on these forward-looking statements. Finally, I would like to remind everyone that a recording of today’s call will be available for replay via a link in the Investors section of the company’s website. Thank you for joining us today for A-Mark’s earnings call. You may now disconnect.